Operator: Good afternoon. Welcome to Marfrig Global Foods Q2 2023 Earnings Call. This presentation is being recorded and interpreted simultaneously in both languages. For those who wish to listen to the conference in Portuguese, please click on the Interpretation button and select the English option. For a better experience, click on mute original audio. [Operator Instructions]. We have Mr. Marcos Molina, Founder and Chairman of the Board; Mr. Tim Klein, CEO of the Americas; Rui Mendonca, CEO for South America Operations; Mr. Tang David, VP of Finance and IR; Paulo Pianez, Sustainability, and Communications Director; and IR director, Mr. Eduardo Puzziello are here with us today. All participants will be in a listen-only mode. We will then have the Q&A session. Further instructions will be given then. Before we proceed, we would like to state that, statements made during the conference are based on the business perspective of the company, based on projections, financial, and operational goals. Based on the company's beliefs as well as information currently available to the company. Future statements are no guarantee of performance because they involve risks, uncertainties, and premises. And they relate to future events and they depend on circumstances that may or may not occur. Investors and analysts should understand that the economic scenario among other operational factors may affect future results of Marfrig, and they can be substantially different for those estimated in these forward-looking segments.  I'll turn it over to Mr. Puzziello for his presentation. You may have the floor now, sir. 
Eduardo Puzziello: Thank you all for attending Marfrig’s earnings call. We'll start by showing you the highlights of the consolidated results for Q2 of 2023. Our consolidated net revenue reached R$32.5 billion for the quarter. Consolidated adjusted EBITDA was R$2.3 billion, and the consolidated adjusted EBITDA margin was 7.1%. During this period, the operations in north -- was positive in $2.4 billion. The operations in North America accounted for 45% of consolidated revenue, while the South American operations accounted for 18%, and the BRF results accounted for 37%.  When we analyzed the consolidated adjusted EBITDA, the North American operations contributed with 32% of the total, and the South American operations accounted for 25%, and BRFs EBITDA was 43%. The U.S. dollar continues to be the primary currency in our results accounting for 71% of consolidated revenue. The North American operation reported net revenue of R$2.9 billion for the quarter, an adjusted EBITDA margin of 5.2%. The South America operations reported net revenue of approximately R$6 billion and an EBITDA margin of 10%, about 50 bps higher than the margin for the same period of last year.  Finally, it's worth mentioning that we concluded the BRFs follow-on in which raised R$5.4 billion. In addition, regarding our Marfrig Green+ plan, along with these, alongside the 100% of direct supplies monitored by a satellite, Marfrig tracks 82% of the direct supplies in the Amazon region and 71% of the direct suppliers in the Cerrado. Paulo Pianez, our Sustainability Director, will provide further details on the progress of this program.  I'll turn over to Tim Klein, CEO for the North American operations. Tim, over to you. 
Timothy Klein: Thank you, Eduardo. Let's begin on slide four, where I will comment on the results for the second quarter. Starting on the left, sales volume for the quarter was 6.4% lower than the same quarter of last year. This was due mainly to lower fed cattle availability. Also, carcass weights decline resulting in less sellable product per head. Net sales were $2.9 billion flat with a year ago, while EBITDA came in at $153 million, 60.5% lower than last year with an EBITDA margin of 5.2%. As expected, the margins in our beef plants were lower versus last year's exceptional results.  Overall, beef demand in the quarter was good, but the retail demand index suffered as higher beef prices took effect. Box beef prices increased accordingly on lower supply, but the increase was not enough to offset significantly higher cattle prices and lower drop credit values. Now, I'll move to slide five where I will talk about U.S. market data. Starting on the left, USDA reported Kansas Life cattle prices average $174.72 per hundredweight up 26.4% from a year ago. The USDA comprehensive cutout average $302.87 per hundredweight up only 14.6%.  While the drop credit declined 4.6% to an average of $1287 per hundredweight, the cutout ratio was 1.75 versus 1.91 last year. As we look forward to the second half of 2023, lower fed cattle supplies will result in higher prices for fed cattle and reduce capacity utilization across the industry. While beef demand is softer, we are encouraged that consumers are willing to pay higher prices than in previous cycles. Although margins are narrow, we believe the industry will operate at profitable levels the rest of this year.  Now I'll pass to Rui. 
Rui Mendonca: Thank you, Tim. We'll now move on to Slide 6. I'll explain the performance of South American operations in Q2 of this year. On the left, we can see that the total sales volume reached 333,000 tons in the second quarter of ‘23, a 6% decrease compared to the same quarter of last year. This performance can be explained by mainly the reduction of operations in Uruguay where drought impacted the availability of animals for the industry in the short term, leading to an approximately 20% drop in slaughtered in that country for the quarter.  Moving on to the chart, in the middle of the page, we see that the net revenue in the second quarter reached R$5.8 billion 18.6% below the revenue of 2022. In addition to the volume reduction, as I mentioned above, I would also like to highlight the decline in the average export prices when compared to the same period of ‘22.  On the right, we can see that the EBITDA margin reached 10% this quarter compared to 9.5% in the second quarter of 2022, representing a 50% or 50 basis point expansion. This is primarily explained by the reduction of the average cattle cost during the period, which more than offset the lower average export prices. In absolute terms, EBITDA reached R$578 million, 14.7% lower than EBITDA in 2022 due to the reductions in volume and revenue as I mentioned earlier. I emphasized that the increasing participation of value-added products, greater market diversification and effective pricing system, and a continuous operational efficiency program, they have all contributed to South American operations maintaining healthy and more stable margins. Moving on to Slide 7, I'll discuss the performance of exports in the second quarter of 2023. In the charts presented export evolution, we can see that China and Hong Kong continue to be the main destinations for exports. They accounted for about 69% of South American international sales during the period. I reiterate that even as the Asian region remains, the company's largest importer of beef, Marrie [ph] has been focusing its efforts to increase the certifications of its units to other markets, aiming at seizing the best commercial opportunities possible.  I'll now turn over to Paulo Pianez. who'll discuss the highlights and sustainability.
Paulo Pianez: Thank you, Rui. Marfrig's journey towards sustainable development continues to achieve significant results this quarter, demonstrating the launch of Marfrig Green+ program, which is now three years old. It has provided the necessary means for implementing strategy aimed at transforming Brazilian livestock aligned with climate and nature-based solutions. Back in April, we hosted the Marfrig Green Plus livestock trends and opportunities in Sao Paulo and in May in London.  In partnership with Chatham House, where we shared the results from 1000 days after the implementation of the program. 1200 people attended it, both online and potentially, experts, farmers, suppliers, partners, investors, NGOs, the universities, banks, and government. With this program, Marfrig is making strong progress in the sectors that has a more challenging topic, which is traceability. 100% of our direct suppliers have been monitored by a satellite. We now have 82% of indirect suppliers in the Amazon region and over 70% in the Cerrado region. Over 30 million hectares that are monitored daily, larger than the United Kingdom and the State of Sao Paulo. Within the framework of the program, which prioritizes regularization and the inclusion of farmers, 3393 farms have been reintegrated since 2021, up until Q2 of this year. Suppliers will have resumed operations in compliance with our commitments. As far as emissions go, Marfrig is in line with its reduction targets for both scopes 1, 2, and 3 approved by SBTi, the science-based target initiative. This court this quarter, we published results related to climate change. Water security and forests for the year 2022 in collaboration with Carbon Disclosure Project. The company achieved a BBB rating ahead of the competition in the MSCI ESG Index, Morgan Stanley Capital International.  MSCI Inc. is the world's largest provider of environmental, social, and governance indices, with over 1500 ESG equity and fixed income indices designed to help institutional investors more effectively assess ESG investment performance. In the quarter, Marfrig published its annual sustainability report for the 14th consecutive year, highlighting achievements in the field for 2022, as well as results in key commitments and goals following the GRI methodology. The company's consistency in social environmental matters is evidenced by the results achieved this quarter, as well as by international assessments, positioning Marfrig as a reference in the field, while simultaneously contributing to the development of a low carbon economy, as well as the preservation and recovery of biodiversity in the areas we operate. I'll now turn over to Tang for the financial results.
Tang David: Thank you, Paulo. And the following slides, I will show you consolidated financial results for Marfrig in the second quarter of the year. Once again, we will demonstrate the consolidated results of BRF alongside Marfrig, following the technical accounting regulation CPC 15 and CPC 36. Therefore, the information, I will comment in the next slides, except when otherwise indicated encompasses BRF's figures. On to Slide 11. On the left for Q2, we generated a consolidated net revenue of R$32.5 billion, breaking it down 37% generated by BRF, 45% in North America, and 18% in South America. During this quarter, 74% of the net revenue was tied to the dollar plus other strong currencies and 20%, 26% in Brazilian rails. On the right, you can see a generation of R$2.3 billion of adjusted consolidated EBITDA, 7.1% was the margin. Given the complex and challenging global microeconomic environment, Marfrig achieved robust results outperforming peers. This is testament of our team's resilience in navigating volatile circumstances. Our business model focused on value-added products as well as our financial discipline.  On slide number 12, let me show you the free cash flow. On the left, we demonstrate Marfrig’s cash generation excluding BRF's consolidation effects. In Q2 2023, Marfrig’s ex-BRF operational cash generation was positive at R$1.6 billion. We paid 950 million in interest and investments for growth plus maintenance amounted to R$430 million, resulting in a positive free cash flow of R$258 million. On the right -- on a consolidated basis, operational cash generation in Q2 ‘23 considering BRF's performance was R$2.4 billion after deducting CapEx investments, plus interest, payments, free cash flow was negative at R$374 million.  Slide 13, net debt and leverage ex-BRF at the end of Q2 2023, Marfrig's net debt not considering BRFs consolidation totaled $4.9 billion in line with the previous quarter when measured in rails. Net debt amounted to R$23.9 billion of 5% reduction when compared to Q1 of this year. Primarily, due to the positive cash generation during the quarter plus exchange rate variations between periods. Marfrig's ex-BRF leverage was 4.08 times measured in riyals.  Slide 14, consolidated net debt according to CPC 15 and 36 with the proforma resources from BRFs follow-on conducted in July total R$5.4 billion reached R$34.3 billion, a 14% reduction when compared to Q1 2023. In dollars, proforma net debt totaled $7.1 billion. The consolidated proforma leverage adjusted by the last 12 months' EBITDA of BRF was 3.5x when measured in real.  On slide 15, these are the debt profile details. Starting on the left, Marfrig's ex-BRF ended June 2023 with a cash position of around $2.2 billion. On the right, due to the consolidation under CPC 15 and 36, the cash position at the end of Q2 reached $3.9 billion already adjusted by the capital increase conducted at the BRF resulting in a final cash position of around $5 billion.  I'll now hand it over to the operator. Thank you.
Operator: [Operator Instructions]. Vinicius Lovato asks the first question from Morgan Stanley.
Unidentified Analyst: Good afternoon. I'm actually Ricardo Alves from Morgan Stanley. I have two questions. Number one, the first one is to Tim. Cattle prices are at a high, and it's not new, but according to historical seasonality seems to be jeopardized. There haven't been any price reliefs in recent months or years. And when we think about Q4, Tim, are you more concerned about price trends in Q4 now at the beginning of winter? I don't recall whether in the past different price dynamics played out as to animal availability. Can you share what you expect as far as cattle prices are concerned or market dynamics for Q4? That would be very helpful.  And my second question is about South America. The 10% margin stands out. That was a surprise to us, but I have to, I'd like to know how relevant was Brazil's contribution when compared to both Argentina and Uruguay. We're talking about prices coming down, but the same thing happens in Uruguay. Our spreads are getting better in Argentina as well.  So, I would like to better understand how much each of these markets contributed. Thank you. 
Timothy Klein : Yes, this is Tim. I'll answer your first set of questions, regarding cattle prices where they're at today. Yes, they're at near-record levels. I will point out that even at these price levels, operating margins are in the black compared to the last time we had cattle prices here, packers were operating deep in the red. So, the demand side of the equation is definitely better now than it was in the past.  We do expect that we're going to continue to see price escalation and cattle through this part of the cycle, which we do not anticipate will bottom until sometime in 2025, ‘26 as far as fed cattle numbers. But what we do know is that the industry will adjust production schedules to the available supply of life cattle in order to maintain an operating margin that's acceptable. So, we started to see that here, in the last month or so.  As we went into the summer months, this Q2, that's the seasonally, the best time of the year for demand. Packers are generally running at full production, as cattle prices went up, and maintain full production schedules in order to fill orders. Now we have come out of the summer months, and that's changing a little bit. So, I expect we are going to see Q4 cattle prices really not a whole lot different than that we are at -- where they are at right now, given what we see as the supply and the very short-term. One thing I will point out is that we believe that, the second half of 2023 results will be similar to the first half.
Rui Mendonca: Good afternoon, Ricardo. Let me talk about margins in South America. Cattle cycles in Brazil has been favorable, ever since last year. Cattle prices came down 18%, which contributed to good results. But we have made continuous progress in processed food. Even in our full brand products that has helped us get to these more significant margins, a 22% decrease in prices in Uruguay.  And in Argentina, there was a 17% drop in the same period. But our operations there is flex, with over 50% from processed food feed. And we remain the -- for sausage and we are very close to food services chains. As far as expectations go, prices are coming down even after Q2, especially in Brazil, and there is some recovery coming from China. So, we have a very positive outlook for the remainder of the year.
Unidentified Analyst: Once again, thank you.
Operator: Being to Lucas Ferreira from JP Morgan.
Lucas Ferreira: I actually have two questions. The first one is to Tim. Tim; can you elaborate on the demand for beef in the U.S.? We have seen a slowdown cut out in the past month. I don't know whether this is a seasonal effect, or whether you can detect any downtrending. Retail are promoting more chicken because there seems to be more margin for them rather than beef to believe there will be some slowdown or a drop-in price for the cutout. And the other question is to Rui. Rui mentioned China. You expect something, some improvements what price levels are you -- have you been able to get from China? If you can say that more information about the demand inventory levels, but when can we expect some better prices of exports getting better, more consistently? 
Timothy Klein: Lucas, I'll answer your first set of questions. Regarding the demand for beef, we're pretty pleased with it. We think the demand side of the equation is holding up very well. Certainly, at these price levels, consumers are trading off. They're buying more of the cheaper beef items, ground beef and end cuts, and less of the middle meats, the ribs, and the loins. So, the price dynamics have changed, but the overall cutout value has remained relatively firm around this $300 level. So, we did see a decline coming out of the barbecue season in May and June.  But we've kind of settled here around 300. And the next move in our opinion, will be higher as we go into the fall season. So, that's our expectation. Certainly, retailers will feature chicken if it's cheaper, but our experience in the past is consumers will continue to buy beef. They'll make different decisions on which cuts to buy, but beef is the primary protein that they're interested in. 
Eduardo Puzziello: Thank you for your question, Lucas. Let me now address China. Q2 showed that prices remained flat due to their inventory levels and especially the inventory levels that were produced in Brazil before that suspension. As of June, demand and prices are on an upward trend. These price increases are over 10%, and we'll see that reflected as of August in the SESC [Ph] data, the outlook is positive. The second half is in large demand. Last year was over 80% bigger, so the focus is for the beginning of next year. So, we expect a very strong second half for both price and demand in China. Thank you.
Operator: Thiago Duarte from BTG Patrol asks the next question. 
Thiago Duarte: Good afternoon, everyone. Thank you for taking my question. I actually have two. The first one is to Tim, based on the comment he has just made about the fact that the industry is showing signs of adjusting its capacity by having less supply of cattle this year. So, here's my question to Tim. Do you believe that this is going to be the industry's behavior further down the road, when you take USDA numbers, the outlook for next year is a high-digit expectation of less availability of cattle? Is the industry ready to show that rationality level once you have more of a shortage of cattle? That's the first question.  My second question is just a follow-up and maybe to hear your take down the road, and my focus now is on South America, that volume decrease driven by the -- decrease in slaughter in Uruguay. Is this the lowest point we are supposed to expect in the second half? 
Timothy Klein: Yeah, this is Tim. I'll answer that question. I do believe that the industry is showing restraint in terms of production numbers given the declining supply of live cattle as supplies decrease. I think the industry will continue to lower production schedules. And our expectation is the industry will run at less than 40 hours a week through the whole, this part of the cycle. And that gives us a lot of opportunities to a lot of preventative maintenance in the plants by having the weekends free. And that's what happens every time we go into this part of the cycle. So, it should be no different this time. 
Eduardo Puzziello: Let me talk about Uruguay. That was a decrease of about 20% in the number of slaughters in Uruguay due to the drought. Two highlights are that reduction took place in cows. So, that was not a major change in the total number of the herd. The herd was 4% to 5% bigger than the same period of last year. So, there was that herd recovery, slaughter numbers in the second quarter with 8% above those of the second quarter of last year, recovering to a certain extent in this year already. Let me take this opportunity to point out that we managed to grow the share of organic beef that's part, or that explains in part that recovery. 
Thiago Duarte: Thank you.
Operator: Antonio Hernandez from Barclays asks the next question. 
Antonio Hernandez : Hi. Good afternoon. Thanks for taking the question and thanks for all the color that you provided on the U.S. operations. My question is regarding South American operations, more specifically Brazil's domestic market. If you could also provide more light in terms of the consumer environment and what you are seeing starting the second half of the year in terms of the month that will be helpful. 
Eduardo Puzziello: Hello, Antonia thank you for the question. Demand has been strong in the domestic market, especially for food service and branded products. Marfrig's brand accounts for over 34% of our beef revenue, a 12% increase year-on-year. Let me point out the industrialized product in South America that accounts for 17% of our revenue. So, most of it is due to the domestic market, which is gaining traction. And we end up adding the share of added value products, which provides a more stable and healthier profile. So, by boosting exports, we will be reducing that production. So, for the domestic market.
Thiago Duarte: Okay. Thanks. Could you please remind us what's the percentage of value-added products that you have there?
Eduardo Puzziello: Today, they account for about 17% of Marfrig's Revenues in South America.
Thiago Duarte: Okay. Perfect. Thanks. Have a nice day.
Operator: Isabella Simonato from Bank of America is up next.
Isabella Simonato: Thank you. Good afternoon. My question is Marfrig standalone.
Operator: Please ask your question in the Portuguese channel, please.
Isabella Simonato: Can you hear me okay now?
Eduardo Puzziello: Yes. We can hear you. Go ahead.
Isabella Simonato: So, here's my question. I'm looking at Marfrig's standalone balance sheet and cash generation. You reverted that cash burn, we see, or what we saw in Q1. Can you give us some more color as to your expectations, for cash flow? And what's your take on deleveraging your net debt-to-EBITDA ratio, as we move forward? The BRF follow-on won't impact Marfrig at the holding level. But once the U.S. EBITDA comes down, how are you going to address that in your balance sheet? Thank you.
Tang David: This is Tang, Isabella. That capital increase we announced yesterday, once again will strengthen our capital structure. For the second half, hugely strong as far as cash generation is concerned. In Q2, we generated $258 million of free cash flow. We have now working capital of up a $420 million, and it's going to be even stronger in the second half. And on top of that, we have operational improvements that will continue. These are all drivers to bring that consolidated leverage down.
Isabella Simonato: What's your expected net debt EBITDA for 2023 or maybe 2024? 
Tang David: I'm not going to give you any guidance in that respect, but it's going to come down. 
Isabella Simonato: All right thank you.
Operator: Pedro Neto from XP is up next. 
Pedro Neto: Good afternoon, everyone. Thank you for taking my question. My question is a follow-up on the last question. When you talk about improvements of working capital in Q3, can you give us some more color in amongst the different regions? What are the main drivers in South America and North America? That's my first question.  My second question is about, I would like to get your take on the recent announcements of suspension or on Argentinian beef, 15 days initially. Is that a matter of concern? Is there any concerning precedent in there? I would like to hear your take on this recent announcement. 
Rui Mendonca: Thank you. Let me start by addressing the question about Argentina. The official meeting between the government and the industry representative will take place at 3:00 PM. There's nothing official about that. Of course, there's a negotiation going on, looking for some help from the industry. And in return, that may be a ban of about 15 days. We may have news later in the afternoon, but our operation in Argentina is completely flex. Industrialized accounts for over 50% of our operations in that country. If we reduce raw materials, will be even beneficial to our production of industrialized products.  But the way we see it, it's a nonofficial -- it's an unofficial piece of news. So, we have to wait and find out what's going to happen as to that likely ban of 15 days, and we'll have to wait for their official decision.  I'll turn it over to Tang. 
Tang David: Good afternoon, Pedro. As far as working capital, just like I said, we have a release of $420 million in a quarter. The main driver of that positive working capital was from the supplier's account. In South America, as you know, cattle prices were down, and on top of that, we are continuously financially managing our capital with suppliers. And one of the activities was to extend payment terms with suppliers.  As far as receivables, we have a release of 115 -- 380 from suppliers 115 in receivables. In receivables traditionally, just like Rui put it, in Q3, you have demands from China and exports to China. We have 40% payments in advance. that contributed to that positive working capital. 
Pedro Neto: Great. Very clear thank you.
Operator: Sebastian Rodriguez to JP Morgan is next. You can unmute your mic and ask your question, please. This concludes the Q&A session. I'll turn over the floor to Mr. Marcos Molina for his closing remarks. 
Marcos Molina: Good afternoon, everyone. Thank you all for attending and would like to congratulate all our divisions, North America, South America, and now BRF for having performed greatly despite the challenging scenario. Once again, thank you all, and our IR team is available to answer any questions you may have and let's finish the year with the bank. Thank you. 
Operator: Marfrig’s earnings call has come to a close. Do you have any questions? Submit them to the IR team, at marfrig.com. Thank you for attending once again and have a great day.